Operator: Hello, ladies and gentlemen. Thank you for standing by for 51Talk Online Education Group's First Quarter 2025 Earnings Conference Call. [Operator Instructions] Today's conference call is being recorded. I will now turn the call over to your host, Mr. David Chung, Investor Relations for the company. Please go ahead, David.
David Chung: The company's results were issued by Newswire Services earlier today and are posted online. You can download the earnings press release and sign up for the company's distribution list by visiting ir.51talk.com. Mr. Jiajia Huang, our CEO; and Ms. Chun Tang, our CFO, will begin with some prepared remarks. Following the prepared remarks, there will be a Q&A session. Before we continue, please note that the discussion will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's results may be materially different from the views expressed today. Further information regarding this and other risks and uncertainties is included in the company's Form 20-F and other public filings as filed with the U.S. Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statements except as required under the applicable law. Please also note that earnings press release and this conference call include discussion of unaudited GAAP financial information as well as unaudited non-GAAP financial measures. 51Talk's press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited most directly comparable GAAP measures. I will now turn the call over to our CEO, Jack Huang. Jack, please go ahead.
Jiajia Huang: Okay. Thank you, David. Hello, everyone. Thank you for joining our conference call. Our first quarter gross billings increased by 74.6% compared to the same period last year, highlighting the progress we've made and the robustness of our business model. We remain confident in the sustainable growth trajectory of our operations. Looking ahead, we are encouraged by the positive momentum in the second quarter. Breakthroughs in our existing markets are driving results, and we are seeing promising early returns from our strategic investments in new regions. We are establishing leadership positions in many of our core markets and are confident that our model is well equipped to outperform incumbents in mature markets that sees first mover advantage in emerging wise. Education continues to be an operationally intensive sector, and we are proactively addressing the complexities of managing a growing multi-market business. To support this expansion, we have taken -- we have taken deliberate steps to optimize our organizational structure, accelerate AI training and adoption company-wide and deeper -- and deepen user engagement to faster, stronger connections with our community. We are excited about the future of our company and remain steadfast in our commitment to delivering long-term value to our shareholders, students and partners. With that, I will now turn the call over to Cindy Tang, our CFO.
Chun Tang: Thank you, Jack. Now let me walk you through our first quarter financial details. First quarter net revenues were USD 18.2 million, a 93.1% increase from the same quarter last year, largely driven by the increase of active students with attended lesson consumption. Gross margin for the first quarter was 77%. Gross billings grew by 74.6% from the same quarter last year to USD 21.9 million. Q1 operating expenses were USD 15.3 million, an increase of 35.6% compared to the same quarter last year. Specifically, this has been driven by Q1 sales and marketing expenses of USD 11.1 million, a 42.7% increase from the same quarter last year due to higher sales personnel costs related to increases in the number of sales and marketing personnel and higher expenses tinkered for our marketing activities. Q1 product development expenses were USD 1 million, a 9.8% increase from the same quarter last year. Finally, Q1 general and administrative expenses were USD 3.2 million, a 23.8% increase from the same quarter last year. Overall, Q1 operating loss was USD 1.3 million, while net loss attributable to ordinary shareholders was USD 1.5 million, a 67.6% and 53.2% decrease from the same quarter last year, respectively. Q1 GAAP and non-GAAP earnings per ADS were negative USD 0.25 and USD 0.2, respectively. The company's total cash, cash equivalents and time deposits were USD 29.5 million at the end of the first quarter. Advances from students were USD 47.9 million at the end of the first quarter. Looking forward to the second quarter of 2025, we currently expect the net gross billings to be between USD 24.5 million and USD 25.5 million. The above outlook is based on our current market conditions and reflects the company's current and preliminary estimates of the market and operating conditions and customer demand, which are all subject to change. This concludes our prepared remarks. We will now open the line for questions. Operator, please go ahead.
Operator: [Operator Instructions] There are no questions at this time. I would like to turn the conference back over to David for any closing remarks.
David Chung: Thank you once again for joining us today. If you have further questions, please contact 51Talk's Investor Relations through the contact information provided on our website.
Operator: This concludes this conference call. You may now disconnect your lines. Thank you, and have a nice day.